Operator: Good morning, ladies and gentlemen, and welcome to the KCAP Financial, Inc. First Quarter 2015 Earnings Conference Call. An earnings press release was distributed yesterday. If you did not receive a copy, the release is available on the company's website at www.kcapfinancial.com in the Investor Relations section. As a reminder, this conference call is being recorded today, Thursday, May 7, 2015. This call is also being hosted on a live webcast, which can be accessed at our company's website at www.kcapfinancial.com in the Investor Relations section under Events. In addition, if you would like to be added to the company's distribution list for the news events, including earnings releases, please contact Jamie Lillis at (203) 428-3223. Today's conference call includes forward-looking statements and projections, and we ask that you refer to KCAP Financial's most recent filings with the SEC for important factors that would cause actual results to differ materially from those projections. KCAP Financial does not undertake to update its forward-looking statements unless required by law. I would now like to introduce your host for today's conference, Mr. Dayl Pearson, President and Chief Executive Officer of KCAP Financial. Mr. Pearson, you may begin.
Dayl W. Pearson: Thank you, and good morning, and thank you for joining KCAP Financial for a review of our first quarter 2015 results. Today, I will review some of the important highlights and activities from the first quarter as well as provide some context for our direct lending and the performance of our asset manager affiliates. I will then turn the call over to our Chief Financial Officer, Ted Gilpin, who will provide a brief recap of our first quarter operating results and our financial condition at the end of the quarter. We will then open the line for your questions at the end of the call. A presentation outlining a few of the key accomplishments in the quarter can be found on our IR section of our website. To start, let me provide a brief recap of some of the important highlights in the first quarter, which is summarized on Page 3 of the earnings presentation. In the first quarter of 2015, our NII was $0.18 per share and our taxable distributable income was $0.19 per share. As a reminder, we also reported non-GAAP metric available for distribution, which is a good proxy for cash available to shareholders as well as what is a sustainable dividend. Available for distribution was $0.23 per share in the first quarter. Our first quarter shareholder distribution was $0.21 per share, down from the $0.25 paid in the fourth quarter. I would now like to discuss performance of our loan and securities business and asset manager affiliates in more detail. Turning to Slide 4. During the first quarter, we invested $20.1 million in new originations. This was primarily funded by prepayments and sales of placeholder assets. Our weighted average yield on our debt securities portfolio was 7.3% in the first quarter, flat with the 17.3% from the fourth quarter. I'm encouraged by the quality of deal flow that we are now seeing in the second quarter as well as the strength of our pipeline and would expect the yield in our debt securities portfolio to begin to lift as we move through 2015. Our credit quality of the portfolio continues to be strong with only 1 nonaccrual loan representing less than $250,000 of cost. No loan originated since 2008 has defaulted. As credit markets continue to become more aggressive, we maintain our credit standards. We continue to strive to produce a healthy balance between our 3 main sources of investment income. While we continue to see good deal flow in middle market pricing and structure continues to be challenging for both senior and particularly, junior capital investments. As always, we continue to maintain our standards, as I said earlier, and we'll not sacrifice credit quality in order to maintain to make short-term income goals. KCAP believes that the current asset mix and allocation of first lien secured loans, mezzanine loans and CLO equity is the appropriate balance for our proper risk-adjusted return. Our asset business -- asset management business continues to perform well. In the first quarter, the AMA priced CLO -- Catamaran CLO 2015-1 of $463.8 million CLO, was subsequently closed in the second quarter. The ongoing ability of our AMA to originate new CLO funds speaks to the rationale and success of the Trimaran acquisition. In terms of the market for our new CLO funds, the environment has remained robust thus far in 2015 as we will soon begin warehousing for our next CLO fund. We continue to be optimistic regarding our ability to issue a new CLO fund in the near future. As of March 15, our weighted average mark-to-market value up to par on our debt securities portfolio increased to 99 compared to 98.6 in the fourth quarter. As far as the CLO portfolio, our weighted average mark-to-market value to par was 56 as compared -- as of March 31, 2013, a slight decrease from the weighted average mark-to-market to par of 58 in the fourth quarter. Our 100% ownership of our asset manager affiliates was valued at approximately $72 million based on their assets under management and positive -- and perspective cash flows at March 31. Our investment portfolio at the end of the first quarter totaled approximately $488 million. Looking at the composition of our investment portfolio, our portfolio quality continues to hold up well with no new assets and nonaccrual, which is a testament to our underwriting investment discipline. At the end of the first quarter, debt securities totaled approximately $320 million and represented 66% of the investment portfolio. First lien loans now represent 69% of the debt securities portfolio and senior loans at 31%. Importantly, as I've stated earlier, we have not seen any adverse credit trends in the quarter and have exposed only 2 energy credits, totaling approximately $13 million. Both of these are relatively low-leveraged secured loans. All CLOs managed by KDA and Trimaran continue to be current on equity distributions and the management fees. The stable income stream for our asset manager allows them to make periodic distributions to us. In the first quarter, there was a distribution of $2.7 million. Additionally, as of March 31, our asset management affiliates had approximately $2.9 billion of par value of assets under management, which does not include the new CLO, which closed in the second quarter, and is down slightly from the $3 billion in assets under management at the end of the year. As always, we continue to evaluate our equity and debt financing options, which allow us to focus on continued balance sheet growth, increasing net investment income and dividend distributions. All in all we are pleased with our first quarter results and the momentum which our business has into the second quarter. And now I'll ask Ted Gilpin to walk you through the details of our financials.
Edward U. Gilpin: Thank you, Dayl. Good morning, everyone. As of March 31, 2015, our net asset value stood at $7.16, was up 3.2% sequentially from $6.94 at the end of the fourth quarter of 2014. Net investment income was $6.5 million or $0.18 per basic share for the first quarter of 2015, up from $5.5 million or $0.15 per basic share for the fourth quarter of 2014 and up from $4.5 million and $0.13 per basic share for the first quarter of 2014. Taxable distributable income was $7 million or $0.19 per basic share for the first quarter of 2015 compared with $6.1 million or $0.18 per basic share for the first quarter of 2014. Resources available for distribution, which is NII plus taxable excess cash on CLOs plus cash in the AMAs in the excess of their taxable earnings, was $8.3 million or $0.23 per share during the first quarter versus $7.7 million or $0.23 per share for the same period of 2014. The company declared a $0.21 distribution in the first quarter, which was down from the $0.25 paid in the first quarter of 2014. Interest income on our debt securities for the 3 months ended March 31, 2015 was $6.2 million or $0.17 per share compared with $5.6 million and $0.15 per share for the quarter ended December 31, 2014, when compared to $5.2 million or $0.16 per share for the first quarter of 2014. As Dayl mentioned earlier, investments which we've made in our direct lending platform have resulted in an improved balanced contributions in that investment income from our 3 main areas of investment, and as a result, our debt securities portfolio continued to contribute roughly half of our total investment income during the quarter. Investment income from CLO fund securities was $4.6 million or $0.12 per share in the first quarter of 2015, which is up from fourth quarter of 2014, which was $3.6 million or $0.10 a share and up from $3.1 million or $0.09 a share in the first quarter of 2014. We recognized $1.4 million of dividend income from our asset manager affiliates during the first quarter or $0.04 per share, which is up slightly in the fourth quarter's distribution of $1.3 million or $0.04 a share when compared to $1.4 million and $0.04 a share in the first quarter of 2014. These 3 revenue components contributed the bulk of our total investment revenue of approximately $12.3 million for the first quarter of 2015, up from fourth quarter results of $10.6 million. For more detail on the breakdown of KCAP's components of distributable income, please see Page 5 of the first quarter earnings presentation. The company recorded net realized and unrealized depreciation of approximately $1.2 million for the first quarter of 2015 as compared to net realized and unrealized depreciation of $1 million during the first quarter of 2014. As Dayl mentioned in April, our asset manager closed the Catamaran CLO 2015-1 $464 million CLO and we continue to see momentum in the CLO space. The addition of Catamaran CLO 2015-1 along with Catamaran CLO 2014-1 and 2014-2 has replaced some of the natural runoff on assets under management and has positively impacted the fair value of the asset manager affiliates, supporting NAV as well as our quarterly shareholder distribution run rate. On the liability side of our balance sheet, as of March 31, 2015, our debt outstanding was approximately $224 million, consisting of $38.6 million of convertible notes coming due in March of 2016 at a fixed rate of 8.75%. $41.4 million of senior notes due in 2019 at a fixed rate of 7.375% and $144 million debt securitization financing transaction, which has a stated interest rate that results on a quarterly basis -- resets on a quarterly basis based upon the then current level of the benchmark 3-month LIBOR. Our asset coverage ratio at the quarter end was 215%, above the minimum required 200% for BDCs. For additional information regarding the above metrics and our third quarter results, please refer to our 10-Q, which was recently filed. It's available online with the SEC and from our website www.kcapfinancial.com. Now I'd like to turn it back over to the operator to answer your questions.
Operator: [Operator Instructions] Our first question comes from Troy Ward with KBW.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: Dayl, a couple of quick questions on kind of macro. Can you speak a little bit on the CLO side, the CLO activity, the pricing? What were you seeing? Where is kind of the gating point for you to continue to warehouse and get new CLOs? Is it the AAAs, is it the sub Ps [ph], kind of just speak broadly about what you're seeing in the CLO market?
Dayl W. Pearson: Yes, look, I think that the biggest issue right now with ramping new CLOs is the availability of assets at reasonable prices. So that the economics work on the other side. So there's been a significant slowdown in new deal activity in the large market, and so there's just not a lot of new deal activity. So we become more and more dependent upon the secondary market. So I think you're going to see ramp periods potentially be longer. But certainly the AAAs are out there. The pricing varies from day-to-day and month-to-month. But we have a pretty good series of relationships with AAA providers as well as with equity providers. And so, I think, we're confident getting deals done. I think that the biggest issue is going to be one of whether we get -- can get something done in the third quarter, whether it slips a bit. So the market is certainly there. It's going to be, I think, the first quarter of this year was even bigger than the first quarter of last year. I think it's starting to settle down a bit, but there's certainly plenty of activity.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: So can you speak also about how maybe GE [ph], you see the fact that GE [ph] is unwinding their middle market platform potentially impacting your -- the CLO business, and maybe your broader business over the next couple of quarters? I think at first glance everyone thought that well GE [ph] is moving out that means spreads will increase, but you're saying there is actually a lack of supply, which means the competition for those assets is going to stay quite high and spreads probably won't increase. Can you just speak to that and kind of how GE [ph] makes it into all that?
Dayl W. Pearson: Yes. I think GE [ph] is -- going to have far less impact on the broadly syndicated loan market, which is where our CLOs invest. And GE's [ph] focus is more on the middle market, primarily the upper middle market for flow deals. I think the -- so I don't see that impacting necessarily the CLO business. What I do see it impacting is, and we've seen it already, is GE [ph] had an ability to go out and not only commit to, but hold very large pieces of middle-market deals at pricing that, in our view, was very often below what we would consider to be the appropriate rate of return. And I think as a result, we've seen pricing on first lien middle-market loans, true middle-market loans, widen a bit over the course of the last 6 months. At the same time that the pricing on the broadly syndicated loans were narrowing a bit, so it's been -- it's sort of an interesting dichotomy. So I do think the GE [ph] impact, overall, will be positive to spreads in the middle market just because there is no one who's going to go out and hold the types of positions GE [ph] held even if somebody -- a big guy buys the CE -- GE [ph] portfolio, I just don't see them holding $50 million out of $100 million term loan.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. That's a good color. And then one final one. As we think about the -- your CLO that closed in the second quarter, can you just speak to kind of the income metrics that you expect to see from that here in 2015, and when will those kick in? Is there some type of lag that we should be expecting in our modeling?
Dayl W. Pearson: Not really. I mean, it closed on Tuesday, so essentially, you'll have almost 2 full months in the quarter. So -- and then obviously, for the rest of the year, I mean, obviously, at the beginning, I think, the cash flows tend to be much higher than necessarily the income you get on the effective interest method, but that smooths out over time.
Operator: [Operator Instructions] Our next question comes from Andrew Cryan with the BBC Income Fund [ph].
Andrew Cryan: Dayl, a little surprised given the strengths in the liquid loan markets to see the CLO equities from your AMAs that you hold on balance sheet actually fell about $658,000 for the quarter from a valuation standpoint. Can you just maybe comment on what variables drove that? Was it just simply modeling out lower future cash flows given some of them are going to be exiting the reinvestment periods? Was that raising the discount rate? If you could maybe just give us some color on what drove the valuation dips given the strength in the liquid markets for Q1, that would be helpful.
Dayl W. Pearson: Yes, I think, a couple of things, Andrew. Number one, I think, a lot of that was driven by the older CLOs as they wound down. We had 2 CLOs that were called in the fourth quarter. Those still had some tail into the first quarter, but those essentially went away and those essentially, the call price was sort of spot onto our market at the end of the third quarter. So support of our valuations. So I think you're going to see that. That will be somewhat variable, but I think the CLO equity market still tends to be -- is looking for higher returns than they were maybe a year ago. So I think some of that's sort of market-driven.
Andrew Cryan: Sure. No, that makes sense. And then last question I had, so just looking at the new CLO that closed from Trimaran. It's about $460 million, which brings your AUM at the AMA is up to about $3.4 billion, obviously you're going to have some run off, but that's hopefully at least offset by the new CLO fund that hopefully you guys can price later this year that you're going to be warehousing for. So if I just run the rough math with 40 bps on the, you call it, $3.4 billion roughly of AUM pro forma, I get to about $13.6 million in potential cash flow for the AMAs or about a little over $3.4 million a quarter. Am I thinking about that the right way?
Edward U. Gilpin: Well, I mean, I think, you're thinking that's the senior and sub fees. There are also some incentive fees that they've been -- 3 deals have been paying incentive fees...
Dayl W. Pearson: And will continue to pay incentive fee.
Edward U. Gilpin: And then also -- then you have to take the expenses out, expenses of the AMAs is out of that. So I mean, you've got a piece of the calculation.
Dayl W. Pearson: But you're raising an interesting point, Andrew, and that is when we made the acquisition of Trimaran in February 2012, the combined AMAs at that time at $3.3 billion of AUM of which $3.3 billion were in so-called CLO 1.0 i.e. funds that, at this point, are either de-leveraged or don't exist anymore. Today, subsequent to the closing of this fund, let's say, it's roughly $3.3 billion because there's probably some runoff since at the end of the quarter, nothing that great. But $3.3 billion -- that $3.3 billion only about $1 billion is in CLO 1.0, so we run over $2 billion in 2.0 funds, all still in their reinvestment period. So we've replaced that. We do 2 more deals over the course of the next 9 months or so. We will replace all of the old funds and actually start to grow the -- to potentially grow the AUM at the asset manager and sort of get through this period of de-leveraging, significantly.
Operator: And I'm showing no further questions. I will now turn the call back over to Dayl Pearson for closing remarks.
Dayl W. Pearson: Well, I like to thank everyone for being on the call today, and we know it's a very busy day, lots of BDCs recording, and we look forward to talking to you again in a few months. Thank you.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect. And everyone, have a great day.